Operator: Good day, and thank you for standing by. Welcome to the Second Quarter 2025 Frontline plc Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Lars Barstad, CEO. Please go ahead.
Lars H. Barstad: Thank you, Nicolas. Dear all, thank you for dialing into Frontline's quarterly earnings call. Shipping and tankers from our vantage point is still in the eye of the storm in relation to global conflict and trade policies. We have started to grow numb in respect of our industry's ability to regulate the ever-increasing parallel tanker market, stealing margins from the law-abiding citizens of the tanker trade. But now we are hopefully seeing the contours of change. one being trade policy reflected in nation's behavior on crude sourcing and the simple fact that global oil demand growth has surpassed what sanctioned molecules can satisfy, meaning incremental oil demand and supply for that sake, its growth seems to benefit the compliant fleet being the market Frontline operates in. So before I give the word to Inger, I'll run through our TCE numbers on Slide 3 in the deck. In the second quarter of 2025, Frontline achieved $43,100 per day on our VLCC fleet, $38,900 per day on our Suezmax fleet and $29,300 per day on our LR2/Aframax fleet. This is up from the first quarter of the year, but admittedly somewhat short of expectations. So far in the third quarter of '25, 82% of our VLCC days are booked at $38,700 per day, 76% of our Suezmax days are booked at $37,200 per day and 73% of our LR2/Aframax days at $36,600 per day. And again, just to remind you, all these numbers are on a load-to-discharge basis with the implication of the ballast days at the end of the quarter this incurs. However, we have fixed very far into Q3 at this point in time. So there's not that much that can move the needle coming in from here. And I'll now let Inger take you through the financial highlights.
Inger Marie Klemp: Thanks, Lars, and good morning and good afternoon, ladies and gentlemen. Let's then turn to Slide 4, profit statement and look at some highlights. We report profit of $77.5 million or $0.35 per share and adjusted profit of $80.4 million or $0.36 per share in the second quarter of '25. The adjusted profit in the second quarter increased by $40 million compared with the previous quarter, and that was primarily due to an increase in our TCE earnings from $241 million in the previous quarter to $283 million in the second quarter as a result of higher TCE rates, partially offset by fluctuations in other income and expenses. Let's then turn to balance sheet at Slide 5. The balance sheet movements this quarter are related to ordinary items. Frontline has a solid balance sheet and strong liquidity of $844 million in cash and cash equivalents, including undrawn amounts of revolver capacity, marketable securities and minimum cash requirements bank as of the end of June 30, 2025. We have no meaningful debt maturities until 2030 and no newbuilding commitments. Let's then look at Slide 6, fleet position and cash breakeven rates and OpEx. Our fleet consists of 41 VLCCs, 21 Suezmax tankers and 18 LR2 tankers. It has an average age of 7 years and consists of 100% ECO vessels, whereof 55% are scrubber-fitted. We estimate average cash breakeven rate for the next 12 months of approximately $28,700 per day for VLCCs, $22,900 per day for Suezmax tankers and $22,900 per day for LR2 tankers, with a fleet average estimate of about $25,900 per day. This includes dry dock costs for 12 VLCCs and 8 LR2 tankers. The fleet average estimate, excluding dry dock cost is about $24,600 or $1,300 per day less. We recorded OpEx expenses including dry dock in the second quarter of $8,700 per day for VLCCs, $8,900 per day for Suezmax tankers and $7,600 per day for LR2 tankers. This includes dry dock of one VLCC and one Suezmax tanker. And the Q2 '25 fleet average OpEx, excluding dry dock, was $8,100 per day. Then let us turn to Slide 7 and look at cash generation. Frontline has a substantial cash generation potential with 30,000 earnings days annually. As you can see from the graph on the left-hand side of the slide, the cash generation potential basis current fleet and TCE rates for TD TC for VLCCs, TD20 for Suezmax tankers and the average of TD25 and TC1 for Aframax and LR2 tankers from the Baltic Exchange as of August 28 '25 is $648 million or $2.91 per share. And further, a 30% increase from current spot market will increase the potential cash generation with about 64%. With this, I leave the word to Lars, again.
Lars H. Barstad: Thank you very much, Inger. And let's turn to Slide 8 and look at the current market themes. So what's going on out there? The compliant tanker fleet sees improved utilization, and this is as the compliant oil export is growing and some of the trade lanes are stretching or lengthening. India and China are balancing their feedstock exposure as they're negotiating U.S. trade policies, and we've also seen increased pressure by both U.S. and EU on sanctions. We also have OPEC voluntary production cut reversals. They have yet to materially affect export volumes. And just to remind you, in the Middle East, about 20% of electricity generation comes from burning oil. So Middle East will still kind of consume about 800,000 to 900,000 barrels per day more during the hot summer months. We do expect this to stop over the next weeks. And we also have quite exciting projections for Q4 global oil supply growth, which is supposed or at least according to EIA, give us a 3 million barrel per day year-on-year growth. If you translate that into exports, probably going to be close to 2 million barrels per day of increased exports. We are back to solid U.S. exports again after having a soft development as ever since January. And we look in August, at least looking at tracking, to reach 3.9 million barrels per day coming out of the U.S. Gulf. And as I'm going to come back to later, we see more and more of this oil pointing towards Asia. We've also had Brazil and Guyana production performing very, very well and likewise on their export side. The improved -- we also are in an environment here with improving refinery margins that -- which basically supports kind of refineries' crude demand and the product arbs. EIA again expect us to reach 105.4 million barrels of consumption in December globally. And we need to keep in mind this is coming from 101.5 million barrels in January. So let's go to Slide 9 and dig a little bit into the policy and how it -- the policies and how it affects behavior. So the oil discount that countries are achieving by importing sanctioned oil versus the trade balance and then in particular, towards U.S. is an important measure for nations not embracing the current sanctions regime. To put some numbers, and this is not exact science, but just taking it off what's being reported around there, India are benefiting around $2.7 billion from -- as a discount to benchmark oil prices by importing large amounts of Russian feedstock. But there bilateral trade is tenfold of that or even more. So about $86 billion is their trade worth with U.S. alone. It's also expected that if the U.S. tariff pressure continues on India as it is right now, they stand to lose about $20 billion of trade to the U.S. So this motivates and although not officially, but it does motivate them to change their tactics. We have, with this seen sanctioned barrels or we have seen sanctioned barrels increase their market share in key growth regions over the years, and this accelerated after 2022 and Russia's invasion of Ukraine. But now we're in a situation where OPEC8 voluntary production cut reversals and the supply growth, especially in Latin America, has given the market headroom to choose compliant sources of oil without affecting oil prices materially. And as global demand continues to grow, we seem to have found the limit on production and export growth from the sanctioned nations. If you look at the 2 charts on the below on the slide and look at these kind of 3 key sanctioned nations production, it seems to be tapering off. And also, if you look at their exports, it's tapering off even faster. There is a fact that when these countries lose kind of knowledge and parts from the rest of the world in order to maintain their production levels, they tend to also lose productivity. If you look at the chart on the top right-hand side, year-on-year, China and India's compliance crude imports, we see a very positive development. Whether this is sustainable is obviously difficult to say, but we are at least moving in the right direction. Let's dig a little bit further into the flows on Slide 10. So on the top left-hand side here, we have year-on-year change in global crude production and also in global exports. Exports is the part that concerns tankers. We've seen quite steep year-on-year changes to the positive in Q2 and also looks to come in, in Q3, and this reflects the previously mentioned increase of around 2 million barrels year- on-year in exports. This is predominantly coming from compliance sources. If you look at the chart below, we've just taken out Iranian and Russian and Venezuelan oil, and it looks very promising. If you look at the chart on the bottom right-hand side, and this is important. If you -- basically what's been missing in our market and particularly hurting Frontline has been the fact that the long-haul trade of oil has suffered. Russia has supplied Asia to a very large degree, whilst Europe has received resupply as they're missing the Russian barrels from U.S., Brazil, Guyana and West Africa. What we ideally want is Latin American and U.S. oil to go east. This is about double the voyage of this local transatlantic trades. But in order to get to that point, Atlantic Basin oil basically needs to price eastbound. It needs to be cheaper, including freight than the benchmark grade in the Middle East, which is called Dubai. What's happened over the last couple of weeks is with India entering the Middle East market to a larger degree now than what we used to do, they have pushed up prices in the Middle East to the point where now you can actually place U.S. barrels cheaper into the Asian market than taking it from the Middle East. Of course, it takes time for this to be reflected in rates. But what we have seen already is a significant increase in U.S. Gulf fixtures for September, which obviously is going to be October delivery than what we've seen previously. Let's move to Slide 11 and look at then the order books. So basically, what I described on the previous slide, it basically equates to about 6% increase in freight demand, and that's not adjusting for ton miles. So the potential change here is greater. But the fleet is not really growing at all. In 2025, it's expected to be reduced by about 0.5% if you look at the active trading fleet that is either not sanctioned or sitting still. There are so few vessels coming into this market that we're actually experiencing negative growth. So with that equation together with longer trade lanes, more compliant oil in the market and a stable fleet development is good news as we move into the fall here. We have a record amount of vessels above 20 years of age in the fleet. We have a record amount of or part of the fleet being sanctioned. And in light of that kind of setup, we continue to have a very limited order book. We also see that the activity on the yards for tankers has been fairly slow for a long period of time now, and there's only very few orders being placed. If you order a vessel today, you are 90% certain that you need to wait until 2028 to get that vessel on the water. So basically, the tanker market is sold out for 2027. There will be transactions on resales for both '26 and '27 delivery, could even be '25. But if you go to -- if you want to increase the order book from here, 2028 is the year. So to try and sum up a little bit, and I have jokingly, but hopefully, it's not a joke, call this compliant bull market question mark. Basically, trade policy is affecting crude sourcing for the key demand regions, and this has been a little bit of a step change as far as we can see it over the last couple of months. We see an increased utilization in the compliant fleet, and we see kind of a more healthy growth in both employment and freight as we are proceeding here. The effective tanker fleet growth remains muted, both due to the aging and -- but also, of course, due to the widening sanction reach. We have healthy refinery margins, and this is actually the first time in a while, and it's been steadily improving since November last year. We've had a seasonally strong summer market, which again kind of confirms this positive demand growth as we see it. OPEC cut reversals are expected to yield increased exports from the Middle East as we approach winter. And Frontline continue to retain its material upside with our modern but not the least spot exposed fleet. Thank you. And with that, we'll open up for questions and give some answers.
Operator: [Operator Instructions] Our first question comes from Omar Nokta with Jefferies.
Omar Mostafa Nokta: Lars, Inger. Thank you for the update. Lars always very good as you kind of go through all the detail and all the moving parts in the market. I did want to maybe follow up just on a couple of those discussion points. Maybe you made a point on Slide 10 talking about those West to East flows and how those have been missing from the market. But here recently, there's perhaps a jump in terms of U.S. VLCC exports going to Asia. I guess how do you think about how that starts to play out as we get closer to winter here over the next several months where you do get an incremental amount of volume into the Middle East market from OPEC. How does that all kind of justs that dynamic overall in terms of the long haul of VLCC trade?
Lars H. Barstad: Well, of course, I should say Jefferies, but I have to actually lean on Goldman here. They and other kind of observers are modestly or even increasingly, bearish crude prices this winter, one being due to the return of the Middle East oil from OPEC. But secondly, that we are actually -- on supply side, we are about 1 million barrels per day north of the demand side. So it's a very good point. I don't want to be in the predicting or in the betting kind of part of this. But I do subscribe to the idea that we could -- it's not a floating storage contango, but we could get a contango basically with -- well, I assume most of you know what the contango means that could kind of come into the oil curve this winter unless we see something very surprising on the demand side. What normally happens then on oil trade is that utilization further increases. Basically, since the future price is higher than the present price, traders and transporters of oil have no hurry to move into port to discharge. And also, it kind of -- it gives you the ability to freight oil longer. But lastly, and the most important part, it also incentivizes people to build inventories. And that's been a big missing part as well. We do see reports of China building inventories, but the rest of OECD is kind of very, very low on the inventory side. So if that answers your question, this is a potential scenario we see play out as we come into winter.
Omar Mostafa Nokta: That's helpful. And then maybe just a follow-up, kind of talking a bit more on the market. A big theme here over the past maybe few quarters or perhaps a couple of years is the fits and starts we've seen in the VLCC market where rates gain momentum and you think this is going to be the big shift and then they fall back and then expectations sort of get reset. Last week was a bit exciting in terms of the move in spot rates. They seem to have gapped up. And it seems maybe this week that they're holding up. What would you kind of attribute some of the -- I know it's very short-term thinking, but what would you attribute those recent gains to? Are you starting to actually see those export barrels from OPEC come to market? Or is it something else at play?
Lars H. Barstad: I think kind of what has come to motion here or gotten into the market is this shift from -- with some Russian backing up, quite a bit of Iranian backing up and that oil being replaced from the complied sources. This has kind of almost like an exponential effect on the demand for compliant tankers. So that is kind of driving it. We have this kind of magic ceiling around $50,000 per day on VLCCs, and we struggle to push through. This has something we believe with the structure of the market, we are kind of -- we are deep in the money, long-term owners of tankers. We -- for us, there shouldn't be a ceiling at all. But if you are more on the short-term trading side, and you're taking a ship in on time charter for $40,000 per day, suddenly, you can kind of literally close the strategy with a $10,000 per day profit you do that because then you get the bonus next year and can buy yourself a new Chalet in Switzerland. And those guys have an awful lot of ships under the commercial control. So you could say that the owners have been a little bit diluted by such a presence in the spot market. What's encouraging right now is that I can promise you, ever since last Thursday, all the charters have been trying to push this market down as far as they could. And it seems like we are finding some support and only lost like $5,000 per day in earnings. So if this is a floor, just to put the VLCC there around $45,000 per day, then I'm actually quite optimistic that we'll be able to push through this kind of artificial ceiling at $50,000 and hopefully establish a new floor a little bit higher up. So the waiting that's been happening now and all the fun and games to try and push this market down has meant that charters are actually starting to get a little bit -- little time to get the vessels they need in order to lift their cargoes. And that's always a very good news to the market. And it's going to be very interesting as we come to work next week and see what -- how this develops.
Omar Mostafa Nokta: Okay. Yes, very good. Lars, I'll see how things indeed develop here. Appreciate it.
Lars H. Barstad: Thank you, Omar.
Operator: [Operator Instructions] I'm showing no further questions at this time. I would now like to turn it back to Lars Barstad for closing remarks.
Lars H. Barstad: Well, thank you very much. I hope it's good news that there were so a few questions at this point or if it's just Friday. But thank you very much for listening in and looking forward to see how this develops.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.